Operator: Hello, and welcome to WWE’s Third Quarter Earnings Conference Call. There will be a question-and-answer session. [Operator Instructions]. I will now turn the call over to Seth Zaslow, SVP and Head of Investor Relations. Please go ahead, Seth.
Seth Zaslow: Thank you, and good afternoon, everyone. Welcome to WWE's third quarter 2022 earnings conference call. Leading today's discussion are Stephanie McMahon, WWE's Chairwoman and Co-CEO, Nick Khan, WWE's Co-CEO; Paul Levesque, WWE's Chief Content Officer; and Frank Riddick, WWE's President and Chief Financial Officer. Their remarks will be followed by a Q&A session. We issued our earnings release about an hour ago and have posted the release, our earnings presentation and other supporting materials on our website. Today's discussion will include forward-looking statements. These statements reflect our current views are based on various assumptions and are subject to risks and uncertainties disclosed in our SEC filings. Actual results may differ materially, and undue reliance should not be placed on them. Additionally, the matters we will be discussing today may include non-GAAP financial measures. Reconciliations of non-GAAP to GAAP information are provided in our earnings release and presentation, which are available on our website. As a reminder, today's conference call is being recorded, and a replay will be available on our website. I would now like to turn the call over to Stephanie.
Stephanie McMahon: Thank you, Seth, and thank you all for joining us. Q3 was another record setting quarter for a third quarter, generating 305 million in revenue and adjusted OIBDA of 91 million, representing increases of 19% and 17% respectively year-over-year. And we remained solidly on track to deliver record revenue and adjusted OIBDA for the full year. As a backdrop to the strong financial performance for the quarter. The renewed energy around our creative has boosted viewership across platforms. In a world of declining television ratings, WWE is growing. Monday Night Raw on USA Network is up almost 5% year-over-year, while the top 25 cable networks are down 12%. SmackDown on Fox is up 1%, while Broadcast Networks are down over 15% year-over-year. In fact, SmackDown regularly attracts over 2 million viewers and ranks number one in the coveted 18 to 49 demo among all Friday Night broadcast programs. Just before the close of Q3, the September 23rd episode of SmackDown saw its biggest audience since 2020. That rating in particular is directly attributable to a first of its kind multimedia campaign called the White Rabbit project, which was designed to engage and intrigue viewers through a series of clues and cues using a myriad of platforms and technology, one of which led to SmackDown on September 23rd as a destination. Our Chief Content Officer, Paul Levesque will speak more to this in a moment. Year-to-date viewership of our premium live events on Peacock is up 38% for the same period in 2021. One notable highlight being Clash at the Castle, our first return to a stadium show in the UK in 30 years becoming WWE's most viewed international event in both the U.S. on Peacock and in the U.K., with a 39% increase in viewership year-over-year. In fact, Clash became the highest grossing European event, setting records for merchandise and ticket sales because strong IP and better storytelling drive all lines of business. In Q3, we also saw the successful relaunch of WWE Shop in partnership with Fanatics as we head into the holiday shopping season, Fanatics plans to scale the WWE product offering by 25% compared to last year, and our partnership with Panini has been significantly delivering above plan. This success is in large part due to a focused effort to weave product into storyline, and take a fresh approach with partners, opening doors that had previously been closed. Take our partnership with Major League Baseball for example. As we discussed on a prior call, WWE has been creating customized championship title belts for MLB teams, we expedited the production and distribution of the Yankees titles in response to the excitement around Aaron Judge's then chase for the homerun record. Orders were replaced by Yankee Stadium as well as Fanatics, and we instantly sold through the initial inventory. We also remain bullish on sales and sponsorship. While current market conditions have impacted our results this year, we already have some exciting deals in place that make us optimistic about our performance in 2023. Speaking of the future, Nick, Paul, Frank and I are excited about the opportunities ahead with a focus across five key areas. Of course, the escalation of our media rights and content, international PCs and the local globalization of the IP across multiple lines of business, monetization of our intellectual property, including brand moats around our superstars, Digital and Web 3, and whatever the metaverse becomes, and potential M&A that aligns with our core competencies. We are just getting started, and we look forward to sharing more as we fully develop our plans. And with that, I will turn the call over to my co-CEO, Nick Kahn.
Nick Khan: Thanks, Steph. And thank you everyone for joining the call. As Steph said, it's been another strong growth quarter for us, and the Live Events segment is a key driver for that growth. In October, Extreme Rules also set good records as the highest grossing Extreme Rules of all time. We saw strong ticket sales throughout, but sales started to spike when Paul Levesque and the creative teams White Rabbit project began, which Paul will discuss later in this call. Looking ahead to 2023, in January we head to San Antonio for the Royal Rumble. This Royal Rumble ticket sales have already surpassed the ticket sales of our second highest grossing Royal Rumble of all time, which was this past January's Rumble in St. Louis. In terms of ticket sales for San Antonio, to-date, we have a gross gate revenue exceeding $4.6 million, which puts us on track to make Royal Rumble 2023, our highest grossing rumble in WWE history. Come February, we will stage another international premium live event with Elimination Chamber taking place at the Bell Center in Montreal. This will be the first premium live event in Montreal in 14 years. The Clash at the Castle, we expect there to be high demand. For WrestleMania 39, which will occur across two nights at SoFi Stadium in Los Angeles on April 1 and 2, 2023, we have sold almost 100,000 tickets already. Without one match or person being announced. We expect to have a sold-out stadium for both nights. In addition to what Steph mentioned regarding Clash at the Castle. We also work closely with the Cardiff Tourism Board and the local government to secure a sightsee for the event. That multimillion dollar commitment added to the amazing economics of the event. Our live events have proven to be a boon to the local economy of the cities we visit. Shortly after WrestleMania 38, this past April, Dallas Mayor Eric Johnson and Arlington Mayor Jim Ross announced that WrestleMania had over a $200 million economic impact on the Dallas and Arlington regions. Look for more of us, excuse me look for more from us in the sightsee space, a new financial opportunity for us. We are in active conversations with other local governments and tourism boards about future events. Turning to our media segment and international, we've closed a number of deals since our last fall. In September, we expanded WWE’s rights deals with our friends at News Corp., when we struck a new agreement with Foxtel in Australia, the rights to our live shows will stay with Foxtel ATV channel Fox8 and Foxtel general entertainment streaming service binge will become the home of WWE Network in the region, just as Peacock is here in the United States. As part of the New Deal, we will distribute primetime replays of our biggest premium live events on Fox8 and debut a new 24/7 WWE linear channel on Foxtel. In addition, we recently closed the deal with C&W Communications, the leading telco provider in the Caribbean for distribution of WWE content on their pay TV service Flow TV. The partnership will also expand our footprint by bringing WWE content to C&W streaming service for the first time. And today, we're pleased to announce yet another international rights deal. In Sub Saharan Africa, we have extended and grown our deal with MultiChoice Group. WWE content will continue to be available on its Supersport linear service, but our move to expand our footprint. Content will now be available on MultiChoice as market leading sports and entertainment streaming platform Showmax. This deal also involves the introduction of new localized WWE content, starting with content creation around the WWE talent search in Africa. Beginning next week, we will have members of the WWE talent recruiting team traveling to Nigeria to start the search. All three of these deals saw an increase in rights fees have expanded our distribution footprint in each respective territory and have resulted in us moving WWE Network to a much larger streaming platform in the region. This is aligned with the long-term goals this leadership team previously outlined and replicated through the successful model that we were able to achieve here in the United States. A partner with distribution that expands our reach while allowing us to reduce costs by reducing WWE network operations. Being with international business, in three days, we returned to Riyadh for Crown Jewel. This is our second show in the country for 2022. And we're pleased to return to our regular cadence. Beyond live events and media rights deals, we're also seeing early success internationally, with local language originals from WWE Studios. Contra las cuerdas a 10 episode Spanish language comedy about an aspiring female Lucia Dora executive produced by WWE Studios, is set to debut on Netflix in Q1 2023. We're pleased to be partnered with Netflix and expand our international footprint with this original. Also in 2023, WWE Studios will premiere a new series on Hulu, featuring superstars Bianca Belair and Montez Ford, the eighth episode first season is currently in production. We are also pleased to be doing more business with our friends at Disney and Hulu, where we also recently extended our Raw re-air rights deal. We also continue to see success at A&E with four different Original Series, Biography WWE Legends, Most Wanted Treasures, WWE Rivals and Smack Talk. These shows are delivering a 15% increase in ratings year-over-year for the time slot. As you know from previous calls, we are as confident as ever in the WWE product as we head into the next round of media rights negotiations. The marketplace is hungry and willing to pay a premium for live content, and as Steph detailed at the top of this call, we're seeing increased viewership across all of our content. Taken together, the robust marketplace and our strong ratings, we believe we're well positioned as we begin our U.S. media rights talks next year. All of us here we're also watching closely this quarter as Amazon began its partnership with the NFL through Thursday night football. We witnessed firsthand in March 2021, when we moved the WWE Network to Peacock that a dedicated audience will migrate to a new platform. Two months into the Amazon NFL partnership, we're seeing success for that partnership and the audience shifting to streaming. As we know the debut game delivered the highest day ever in prime signups in the company's history, providing an immediate surge to Amazon sub-base. The prime games are also delivering a higher number of 18 to 49 year old's, compared to packages previously, making it more attractive to advertisers. What we're seeing now is sports shift into streaming is a duplication of the dual revenue stream cable model that made traditional sports networks so valuable, a healthy subscription fee coupled with a mass audience that is attractive to advertisers. As we know this audience will continue to grow over time, driving more sub revenue and higher CPMs. As for the industry leading NFL let's all see if Sunday Ticket brings even another new buyer into the marketplace. And the traditional players continue to spend big to compete as well. That's what we saw this past weekend with the new big 12 Deal. Box and ESPN are paying a 70% increase, despite the conference losing Texas and Oklahoma. That's the power of live. This marketplace and our performance gives us confidence heading into 2023. With that, I'd like to hand the call over to Paul Triple H. Levesque.
Paul Levesque: Thanks, Nick. As Steph mentioned at the top of the call, we're seeing strong viewership numbers across all of our programming. The creative is working, and the storytelling is resonating with our fans. Beyond the television viewership and streaming, we're seeing growth across all of our social channels. In Q3, WWE had the most social video views of any major sports league. In fact, WWE outpaced the number two sports league by more than two times. Additionally, we beat our own internal records for video views. In July, our WWE Instagram page had the highest video views in the history of the account. In August, our WWE Twitter account, set a record for all time views on the page. The performance is a result of evolving with our platforms, we're seeing more engagement, longer watch times, and of course, increased ad revenue. YouTube and TikTok both maintained their already strong positions. WWE remains the eighth most subscribed channel on YouTube with 91 million subscribers. In the quarter, our channels surpassed 70 billion lifetime views, making it only the seventh channel in history of YouTube to do so. And on TikTok, we remain the number one most followed sports league on the platform, sitting ahead of the NFL, NBA and UFC by millions. As both Nick and Steph mentioned before one specific initiative where we saw success on social and that led to linear viewing a success as well is what we internally called the White Rabbit project, a multiweek long campaign that played out across television, social and in arenas. We started the campaign by introducing moments into our live events, in arenas with no mention of our direct digital or social or linear platforms. We let our fans discuss it amongst themselves and try to figure out what was going on. We then started to weave in more elaborate elements including QR codes within episodes of SmackDown and Raw. And when they went to those QR codes, it led viewers to more clues like interactive games and puzzles that they had to figure out. It would also lead them to cryptic messages to decipher that literally lead you further down the rabbit hole. The buzz and excitement continued to increase as we move forward, the QR codes and links leading to the September 23 SmackDown drove viewership during the 9pm hour by 20% alone, as viewers tuned in to see the campaign. This was the most watched episode of SmackDown since March of 2020. The project would culminate by leading you to Extreme Rules and the incredible return of one of our biggest superstars, Bray Wyatt. Bray Wyatt's return at Extreme Rules resulted in a 30% increase in total viewership and became the most watched Extreme Rules in history. Monday Night Raw just two nights later also benefited increasing our audience to nearly 2 million up 14% week-over-week against stiff competition of Monday Night Football and the Voice. The campaign also drove sales on our consumer product team. On the day of Bray's return, his newly released t-shirt from Extreme Rules became the top selling item not just among WWE merchandise, but across Fanatics entire network of ecommerce sites. The WWE White Rabbit project is a perfect example of how we can use multimedia approach to drive engagement, excitement, and ultimately, revenue. Look for us to do more of these strategic creative stunts that extends storyline to different platforms and are executed beyond just our traditional television windows. WWE truly is 24/7 programming. As we continue to find new ways to promote established superstars like Bray Wyatt, whereas equally focused on creating a pipeline for the next generation of superstars as well. In October, we announced WWE Campus Rush, a multi-campus college athlete recruitment tour, which will visit top NCAA division one universities in search for new talent. The program consists of visiting eight schools this fall, and seven more already scheduled for this spring, with involvement from colleges across all of the power five conferences. At each stop on the tour, student athletes will hear about all of the amazing opportunities that WWE can offer to them, whether in ring or out, opportunities like WWE's NIL program that they can utilize including brand building social media fan engagement and media training. We expect to see more D1 athletes start moving through our developmental system over the next year. You've heard about our established stars and the stars of the future. But the increased excitement around WWE's creative and the WWE in general are opening more and more opportunities than ever to engage with celebrities from outside of the WWE Universe, helping us to bring in new fans. One example this Saturday, we will be in Riyadh, Saudi Arabia for Crown Jewel, where one of the world's most famous influencers, Logan Paul, will face off against the Tribal Chief Roman Reigns. Undoubtedly, Roman will have the entire bloodline with him which would make one wonder if Logan will have his very famous brother Jake Paul, fresh off his win against Anderson Silva in his corner to help even the odds that will set us up nicely to round out the year with this year's Survivor Series, becoming Survivor Series war games from TD Garden in Boston, which has our fans very excited. And speaking of excitement, no one is more excited about war games than our President and CFO, Frank Riddick.
Frank Riddick: Thank you, Paul. As Step and Nick highlighted, we had another strong quarter. Turning to Slide three of our presentation, in the third quarter we generated revenue of 305 million and adjusted OIBDA of 91 million, which exceeded the high-end of our guidance. Revenue increased 19% and adjusted OIBDA increased 70% year-over-year. As a result of our performance through the first nine months of the year, we now expect full year 2022 adjusted OIBDA to be at the upper end of the range of 370 million to 385 million. I'll touch on the outlook for the fourth quarter in more detail later in my remarks. On page four of our presentation, we detail our business performance in the quarter, which shows revenue operating income and adjusted OIBDA contribution by segment as compared to the prior year quarter. During the third quarter, we had strong performance across our businesses, as each of our three reporting segments reported double-digit revenue growth. Looking at our media segment on Page five, adjusted OIBDA increased 10% and 15% revenue growth. Core content rights fees increased due to the contractual escalation of domestic right fees from the distribution of our flagship shows, Raw and SmackDown. Due to the timing of the calendar, we also aired an additional episode of SmackDown in the current year. International core content rights fees increased primarily as a result of the media deal that we entered into earlier in the year. Network revenue increased primarily due to higher domestic revenue related to our agreement with Peacock. Other media revenue increased due to the delivery of third-party original programming to A&E in connection with our ongoing partnership. Advertising and sponsorship revenue declined due to our decision to exit a third-party partnership in the audio space. This decision had a $3 million unfavorable impact on our results in the quarter, and we are currently working on a new deal with another third-party. The growth in revenue was partially offset by higher operating expenses. The increase in expenses was primarily related to an increase in third-party original programming and higher content related cost. As a reminder, we resumed regular touring schedule in July 2021. And therefore, the television production costs for our weekly in-ring content Raw and SmackDown were relatively flat year-over-year. Now let's turn to our live event business as shown on Page six of our presentation. Adjusted OIBDA from our live events was 10 million and revenue of 35 million. During the third quarter we continued to experience strong demand for our live events. We held 58 total events, 57 in North America and one international event. The average attendance in North America was approximately 6300. Average attendance was down year-over-year as the prior year period reflected pent up consumer demand as well as a higher mix of larger capacity venues. International ticket sales increased due to the staging of a major stadium event Clash at the Castle in the current year. Moving to our consumer product segment on Page seven adjusted OIBDA more than doubled to 19 million on 45% or $11 million of revenue growth. During the quarter we recorded approximately 10 million in revenue, primarily as a result of a revision to our estimates related to revenue recognition for certain licensing agreements with minimum guarantees. Prior to the change in estimates, we expected to recognize approximately 9 million of this amount in the fourth quarter, which will be negatively impacted by this amount. Th new merchandise revenue increased primarily due to an increase in total events. ecommerce sales declined primarily due to the transition of our digital platform to Fanatics. While we remain very positive about the Fanatics relationship, and expect the Fanatics performance to be added to adjusted OIBDA, the structure of the partnership results in a reduction of revenue as we record the activity on a net as opposed to gross basis. As we previously disclosed a special committee, consisting of the independent members of the Board of Directors was formed to conduct an investigation into alleged misconduct by Vince McMahon, who has resigned and another executive who has left the company. The special committee investigation is now complete, and the special committee has been disbanded. Management is working with the Board to implement the recommendations of the special committee related to the investigation. Our third quarter results include an $18 million expense associated with the cost the company has incurred related to the investigation, which has been excluded from adjusted OIBDA. Going forward we expect to incur additional costs related to the investigation. As we previously disclosed Mr. McMahon has agreed to pay the reasonable cost of the investigation not covered by insurance. Now let's turn to WWE's capital structure, as shown on Slide eight of the presentation. In the third quarter, we generated 4 million in free cash flow as compared to 45 million in the prior year period. The decrease was due to higher capital expenditures related to the company's new headquarters facility. In the third quarter we incurred $51 million of capital expenditures, 42 million of which related to our new headquarters. Excluding the new HQ CapEx, free cash flow would have been 46 million in the quarter, or a conversion rate of 50% of adjusted OIBDA. Year-to-date, we've spent approximately 97 million on the new HQ project and currently anticipate approximately 180 million to 195 million in full year spending on the project. The company also received 14 million in third quarter and 27 million through the first nine months of the year, related to tenant improvement reimbursements for the headquarter facility. While these amounts reduce our overall cash outlay for the project they are not included in our free cash flow calculation. During the quarter, we returned 9 million of capital to shareholders through dividend payments. We did not repurchase any shares in the quarter due to regulatory and legal requirements related to the investigation. To-date, we repurchased approximately 5.3 million shares for 289 million and have 211 million available under our 500 million repurchase program authorization. Going forward, we expect to remain opportunistic in our share repurchases. We will continue to evaluate various factors such as our stock price, financial market conditions, regulatory matters, and our estimate of the intrinsic value of our stock when determining our level of activity. As of September 30, WWE held approximately 441 million in cash and short-term investments. debt totaled 235 million, including 214 million associated with the carrying value of our convertible notes. We have no amounts outstanding under our $200 million revolving line of credit. Our current and projected liquidity remains strong, and we continue to evaluate our capital structure and financing strategy for opportunities to lower our cost of capital and increase shareholder value. Turning to our outlook for full year adjusted OIBDA, in February, we originally provided a range of 360 million to 375 million. In August, we raised that range to 370 to 385. We are now targeting the upper end of the range of 370 to 385 million. We are pleased with our results for the first nine months of the year and remain firmly on track to deliver record revenue and adjusted OIBDA for the full year. As for the fourth quarter of 2022, we're targeting adjusted OIBDA in the range of 83 million to 90 million. The estimate reflects year-over-year revenue growth primarily from an unexpected increase in domestic media rights fees for the company's premium events, as well as the increased monetization of third-party programming. This revenue growth is expected to be partially offset by the negative impact related to the timing of consumer product licensing revenue for certain agreements with minimum guarantees that I discussed earlier in my remarks, as well as the timing of the airing of the company's flagship weekly programming, in particular SmackDown, which is scheduled to air one less episode as compared to the prior year period. We also anticipate that fourth quarter results will reflect an increase in operating expenses as we continue to invest in the creation of our content. As we previously disclosed our agreement with Hulu for the Raw re-air rights expired at the end of September. In our discussions with Hulu about extending the relationship, we expressed our desire to align the timing of the rights and windows for our content, so it's best positions WWE for the upcoming renewal discussions in 2023. As a result, we entered into a short-term extension that we believe balances desires of both sides. We are pleased with the outcome, but it will create a modest headwind in our financials for fourth quarter and for 2023. As for 2023, we're currently in the middle of our annual operating plan process and expect to provide a more fulsome update on our next earnings call. Given the importance of the U.S. media renewals for Raw and SmackDown, we do expect to continue to invest in the creation of our content the best position in the business for long-term. We're also keeping a close eye on macroeconomic and market conditions, including the potential impact on consumer behavior, and any related impact on our financial performance. In conclusion, WWE generated strong third quarter results that reflected robust demand for our events, and increased consumption of programming across platforms. We believe our long-term outlook is supported by the rising value of live sports content, increasing spending by streaming platforms on live and sports content to acquire and retain customers, increasing brand spend with media companies that deliver reach and fan engagement, and increasing premium for celebrities and compelling content, fueling new IP monetization opportunities, and the growth of media and entertainment in international markets. Looking ahead, we believe that WWE remains well positioned to take advantage of these significant opportunities to support growth across all our lines of business. We look forward to updating you on the progress of these initiatives in the coming quarters. That concludes our remarks. And I'll now turn it back to Seth.
Seth Zaslow: Thanks, Frank. Operator, we're ready for Q&A. Please open the lines.
Operator: Of course, thank you. [Operator Instructions] And we'll go ahead and take our first question from Brandon Ross with LightShed Partners. Please go ahead.
Brandon Ross: Hi, thanks for taking the questions. I have a couple. Actually going to start with Frank. And can you talk a little bit about how you see the cost structure growing in the coming year or two, especially as you finish up or start and then hopefully complete your new licensing deal? And how do you think about strategic reinvestment, including but beyond town costs as you marry your CFO role with your new President role? And are there any areas for cost structure improvement that you say? I have a follow-up.
Frank Riddick: Thanks, Brandon. Yes, we're obviously, as I said in my comments, we see the need to continue to invest in content creation, particularly as we head into WrestleMania in Los Angeles supporting the renewal discussions coming up this next year. We haven't really determined, guidance for margin for 2023, yet, we're still in the planning process. And we're trying to strike that balance between ensuring that we continue to create the compelling content that's driven the ratings, and will result in a meaningful uptick in our rights. We do see opportunities to manage and control costs, primarily in the non shall we say, revenue generating and talent area, particularly the corporate costs, which we have -- as we've discussed in the past Brandon, a high level of cost relative to the size of the company, and we see opportunities to do that to balance out other increases needed to support the business.
Brandon Ross: Great. And then for Paul. First of all, you guys all kicked off the call by talking about the success of the creative and what that's meant. And you gave a bunch of tangible examples of some of the things you're doing. Can you maybe put a bow on it by zooming out a little and telling us kind of what the core tenants of your content philosophy are, and how you look to manage that over a year-long cycle?
Paul Levesque: Sure. I think it's looking at, as you said, the year-long cycle of content creation over that year, and trying to sort of pick places that you want to go to put them into your creative sort of GPS system, and then figuring out how you want to get to those things. So it's looking further ahead than we've ever done before. I think, as we're rounding the bend to come into the New Year, and looking at WrestleMania, I'm already beginning in my mind to start to -- with the team collaborate on what we want next year's WrestleMania to look like and how we want the spring coming out of WrestleMania to transfer into the summer, and then through into the fall. It's a large cycle. And I think the further that we can get ahead of it, to know where we want to go, obviously, our business being different than making movies or anything else, right with the human beings involved, injury rates, everything else that come along with it. But when I look at the creative we're doing now when I look at the success of that, understand, we're still doing that without Charlotte Flair, we're still doing that without Becky Lynch, we're doing that without Cody Rhodes, we're doing that without Randy Orton. I think those are significant stars that have -- when they return will move the needle as well. I think the other big thing for us is, is really focusing on character development. And as you see a lot of stars returning, you will see stars coming up through our developmental system that have never been seen on a Raw or SmackDown before developing those characters. So that you're invested in them each individually so that they mean more within the programming itself. And then really, for us, it's keeping things fresh, trying things outside the box things, some are going to work, some are not. But I think the White Rabbit stuff that we talked about a lot today was really outside of the box thinking that came out of this creative team. And that leads you to being able to try new things you've never tried before, keep the successes, lose the losses, I'm not afraid of the losses. That's where I learned the successes don't teach me nearly as much as the losses do. So when things don't work. That's phenomenal. We'll figure out why they didn't and the next one will. So I'm not afraid of any of that. And it's really just moving forward but having a plan of where you want to go. I hope that answered it for you.
Brandon Ross: It did. Thank you very much.
Operator: We'll go ahead and move to our next question from Curry Baker with Guggenheim Securities. Please go ahead.
Curry Baker: Hey, good evening, everyone. Thanks for the question. I have two for Nick. The first one is on the U.S. renewal for Raw and SmackDown next year. Can you maybe help us think about what metrics you're looking at? That gives you confidence and the renewal cycle next year? Is it ratings, recent sports rights renewals relative cost all the above just high level? How you're thinking about the renewal and what's leading you to be so positive right now.
Nick Khan: Thanks very much, Curry. I think we always looked at what we refer to internally as the three R's, ratings, relevancy and revenue. And we think the company is firing on all cylinders in terms of that. In addition to the marketplace firing on all cylinders, in terms of what it's paying to different entities that deliver those things. So there's obviously a lot of micro to that macro. But those three macro points are what we're consistently looking at and talking about.
Curry Baker: Thanks. And then on the local subsidy front for large events, obviously, Wells was a nice benefit there. Do you think we can see one or more of these subsidies next year? I know you mentioned, there are some active negotiations going on? Or would you characterize this as more of a 24, 25 opportunity?
Nick Khan: Yes. It's something we're taking a deep dive into now. So we certainly believe that there will be more there. We have an offer for one of our premium live events that we like already. So we're in the process of trying to close that up. And there's going to be more than that coming. We think with the economic boon as I described in my remarks that our product brings to different cities and countries. We believe we're effectively getting the word out there on that. And we're already starting to see the results.
Curry Baker: Great. Thanks for the questions.
Operator: And we'll move on to our next question from Eric Handler with MKM Partners. Please go ahead.
Eric Handler: Good afternoon, and thanks for the question. This one for Paul and Paul next year with sort of morph the NXT UK playing to NXT Europe. I wonder if you could talk a little bit about what you think, or how you think, or what you think NXT Europe can morph into in terms of bigger, better thought of? And from there, what type of timeline you're thinking for expansion even beyond Europe?
Paul Levesque: Thanks for the question, Eric. Bigger, better, broader, it might be the tagline for the new brand, maybe going forward.
Eric Handler: I have already trademarked it.
Paul Levesque: Oh, really? All right, well, we can talk about it. Frank will handle that.
Frank Riddick: We don’t pay much for those.
Paul Levesque: I think that what you see in Europe, when we started NXT UK, the desire was to sort of replicate what we were doing in the U.S. and we got to start on it. And then, COVID hit, and it slowed everything down. And then we needed to rethink it. So we got to a place where we were ready to go again. But it's sort of tough to rebrand something and reboot it, while you're still running it, it's like trying to change a tire on a car on the highway. So we shut it down as Europe evolves and grows, once we bring that back, I think you will begin to see it replicating a bit more of what you see in the U.S. So a system underneath it, for recruiting a system underneath it for bringing in the best athletes from all around Europe, whether we're recruiting them from the Olympic level same as we are here around, college athletics is slightly different there but around athletics and the youth over there. We will partner with people over there. And as we begin to bring those athletes in, training them, developing them in whether in our current PC or as we evolve into something bigger, trying to turn that into a feeder system for the overall WWE whether Raw and SmackDown. And I think that that local globalized sort of brand there is very attractive to a lot of our partners in market. And I think we have an opportunity to make it be something even bigger. And Europe also becomes a very interesting hub for us, for other countries. So I would take for example, India, whereas we recruit there, it's very difficult for us to find athletes bring them to the U.S. to begin training, it's a very long process for us. We can get them into Europe in a much quicker fashion and get them training much quicker, much faster and have success in a shorter period of time. So it becomes a very key hub for us. I think once Europe is established, you will see us begin to look at branching that out into other markets as well.
Eric Handler: Very helpful. And then, one follow-up, another content question. Couple of years into your NIL deal with U.S. college athletes. I'm curious as you think about your investment into this project and other college recruitment opportunities. One, you have like a timeline that you think that you can get these people into the Performance Center, two, filter out who can succeed who can't succeed, what's sort of -- what's your [bid sounds] [ph] with that. And then, how long would it take them to sort of get into NXT or the main roster?
Paul Levesque: It's interesting as we've been doing this for a few years now. And recruiting, some collegiate athletes, but some slightly differently, the difference with these collegiate athletes that are coming into us through NIH and through the college rush program that you see being implemented now, that level of high end college athletes are used to being trained and coached at a different level, it incrementally increases the speed at which they progress through our program. And we've gotten pretty good at predicting. So there's a very short window of time once they come in, there's almost like a six-month sort of almost just happens naturally cut-off period and then there's another one slightly after that, but maybe four to six months later after that, with the crowd starts to thin out a bit. And we have some talent right now that are airing -- that are appearing in NXT programming now that have only been in the system for maybe six, eight months. You see them almost regularly a year in or so appearing regularly. But like I said, we have some that are six months in that are appearing within the show now, so that the curve is not great. And they're picking it up very fast. And I think that, because of that and the amount of athletes that are becoming more and more interested in WWE by the day, the future is incredibly bright on that front.
Eric Handler: Thank you very much.
Operator: We'll take our next question from David Karnovsky with JPMorgan. Please go ahead.
David Karnovsky: Hi. Thank you, Steph, I think in your prepared remarks you mentioned as one of your strategic priorities, M&A that aligns with your core competencies. And acquisitions historically, I don't think it had been a focus for the company. So just hoping you could expand a bit on that commentary.
Stephanie McMahon: Sure. I actually had taken out the words tuck-in that were recommended that I was supposed to say. So it really is there's smaller strategic opportunities that we're looking at in the near term. And in terms of the long-term, who knows what the future might hold?
David Karnovsky: Okay. And then Nick, I think it's been a long time since anyone on this call specifically asked about Canada, but you do have a rights agreement expiring there, I think in 2024, and I believe it's still a top five region for you. So I was hoping maybe you could just provide any early view on how you see the market for the content areas, you potentially go to negotiations.
Nick Khan: We think the market there is strong for us, especially with all of the U.S.-based companies that have now over the last few years gone internationally. Instead of a handful of potential buyers in Canada, you have a plethora of them. So we love our relationship with our incumbent partner Rogers right now. And we'll see what the future brings. But we're quite bullish there.
David Karnovsky: Great. Thank you.
Operator: We'll move on to our next question from Steven Cahall with Wells Fargo. Please go ahead.
Steven Cahall: Thanks. First, Nick, we're seeing a lot of linear pressure out there in cost cutting and advertising. I think NBC guided to a tougher Q4 outlook. And as you know, Fox doesn't have a streaming platform, and it's going to be tougher for them for SmackDown, maybe to be profitable on ads over the next few years. So with all that going on, and when you think about rights, and the expectation for rights in 2022, this very long question is, do you still think that packaging linear and broadcast together with a couple of different partners is the right way to go about it? Or in order to maximize value? Do you think you'll start to get more creative and look at opportunities to maybe have broadcast only rights and streaming only rights in order to bring in a bigger group of bidders since I think you start exclusive negotiations with your current partners here pretty soon. And then relatedly. Frank, you said the Hulu re-air right create a modest headwind? I'm just curious if you put those out competitively. And could you maybe expand on why that's a modest headwind? Is it just because it's a shorter-term deal? It sounds like you don't want us to read that across as being any sort of implication for the bigger rights renewals. So I'd love some more color there. Thank you.
Nick Khan: Thanks, Steven. In terms of the first part of that question, we think nights of the week matter in terms of return on investment by linear broadcast networks. We also think the way that it's ended up for us with Raw on basic cable, SmackDown on free to air, and the premium live events on a streaming service Peacock has worked out perfectly, in that it allowed us to test each platform out or our product and to see where we could get a stronger result. We're happy with all three of those platforms and where they're going. Yes, there'll be fewer opportunities in basic cable, as there will be fewer basic cable networks. But we think a lot of that content has obviously been picked up by the streamers in terms of free-to-air. We'll see what folks do with their 10 o'clock hour. But all indicators are that scripted programming has shifted to streaming, at least the premium scripted content, and that the linear platform, the free-to-air platform is best for live, which we are. So we like the way that it's heading and remain bullish on it. Frank, I'll turn over the second part for you.
Frank Riddick: Steven we clearly -- you picked up on it. We don't think it says anything about the value of our content that negotiation, this conflict was complicated by our desire what we want to do with the second two air rights, as well as some other constraints contractually and how it could be competitively bid. So we just decided that the shorter-term deal was better for us. And, we haven't disclosed the original deal, or nor we disclosed the new one, but just, it doesn't really say anything about the future of our rights negotiations in '23. I don't know if Nick, you want to add anything to that.
Nick Khan: Yes, I can add to that. And part of it was part of your question, also, Steven. In terms of splitting the rights, if you look at the NFL in, their recent negotiations, when it went to NBC, so did the digital rights when it went to Amazon, the linear rights were not sold anywhere else? And yes, of course, in the two local markets, you'll get to see it free-to-air. But you saw that across the board uniformly? I'm not sure that's going to change. If it didn't change for them, it likely doesn't change for others. So it'd be great on Raw and SmackDown to split them four ways instead of two ways. But as long as it's monetized the same number, we're good with that.
Steven Cahall: Thank you.
Seth Zaslow: Operator, why don't we take one last question, please?
Operator: Of course, you bet. And our last question will come from David Joyce with Barclays. Please go ahead.
David Joyce: Thank you. Given that you've just done some new deals in Australia, and Africa, and earlier this year in Canada. Could you help us think about how you would kind of rank order the importance of your markets outside the U.S. granted, we know that the [indiscernible]. Just trying to think of what this can do for the broader array of monetization opportunities. Thanks.
Nick Khan: Thanks, David, for the question. We think that the live events and the rights deals are one and the same now. So even the question that was asked earlier about Canada and the deal coming up there in 2024, as we had mentioned earlier, we have the premium live event in Montreal in February. You saw the Cardiff show that we talked about as well, Labor Day weekend in Wales, obviously, that's all tied in. So our existing partners, and new potential buyers can come and see our programming. When you see our stuff live, it's a heck of an easier sell. Because you see that audience reaction, and how passionate the fan base is. And when you see the increase in viewership, for example. And yes, the Cardiff show airing live in primetime in the UK is a significant factor, as opposed to it airing at 2am or 3am, if it was emanating from the United States. But I think our ratings premium live events to premium live event we are up like 400%, or something to that effect, something extreme with that. So UK matters to us, Canada matters to us, the APAC region, we had announced a year or so ago, a deal with Disney for two of the countries there. Look for us to focus on that. Australia obviously matters. So there's going to be more of an emphasis, Steph, Paul, Frank and I talk about all the time. It's a global localized product that we're shooting for. So when we talk about even the talent recruiting, staying under the new Superstar deal in Africa, that'll start next week, if we can find one next superstar from the country of Africa, that simply resonates, I'm sorry, the continent of Africa that simply resonates on the continent of Africa a big win for us, if that person can cross over and resonate to the U.S. even a bigger win if they can become a global superstar. And hey, that's solid goal for us. So we like the strategy. We think we're implementing it properly. And the results we're excited to see.
David Joyce: Great. Thank you very much.
Nick Khan: Thank you.
Endof Q&A:
Seth Zaslow: All right. Well, thank you everyone for joining us today. We appreciate your interest in WWE. Operator, you can conclude the call now.
Operator: And with that, that does conclude today's call. Thank you for your participation. You may now disconnect.